Operator: At this time I would like to welcome everyone to the Citadel Broadcasting 2007 fourth quarter results conference call. (Operator Instructions) I would now like to turn the conference call over to Ms. Stratford.
Patricia Stratford: Thank you. Good morning and thank you for joining us for our fourth quarter earnings call. Joining me for today's discussion are Farid Suleman, Chairman and CEO; Judy Ellis, COO and Randy Taylor, who has got from being our acting CFO to Chief Financial Officer. Randy will review the financial results, followed by Farid and Judy, we will then take questions. Let me note that statements on this conference call relating to matters, which are not historical facts are forward-looking statements. Forward-looking statements involve risks and uncertainties, which could cause actual results to differ. Risks and uncertainties are disclosed in Citadel Broadcasting's securities filings and at the end of our press release. This earnings release and other information related to the presentation can be found on Citadel's corporate website on the Internet under the address of citadelbroadcasting.com. I will now turn the call over to Randy.
Randy Taylor: Thanks Patty. Net revenues for fourth quarter 2007 were $245.5 million, as compared to $114 million for the fourth quarter of 2006. The increase in revenues was a result of the ABC Radio acquisition completed on June 12th, 2007. On a pro forma basis, net revenues in the fourth quarter 2007 were $245.3 million as compared to $258.5 million for the fourth quarter of 2006. Pro forma revenues for 2007 and 2006 have been adjusted as a result of ABC Radio and any significant station dispositions. This decrease in pro forma revenues is $13.2 million or 5.1% is primarily the result of a $13.1 million decline in revenue from our Radio Markets, which is partially offset by an increase in Radio Network revenue of $0.6 million. The decline in net revenues at the Radio Markets is primarily attributable to lower revenues in San Francisco, Washington D.C., Chicago, Atlanta, New York, Birmingham, Dallas and Los Angeles. Operating loss for the fourth quarter of 2007 was approximately $1.044 billion as compared to operating income of $10.8 million in the corresponding 2006 period, a decrease of approximately $1.055 billion. This decrease is primarily the result of an increase in asset impairment charges of approximately $1.079 billion. The asset impairment charge related to a continued deterioration in the radio marketplace and to a decline in our stock price during the three months ended December 31st, 2007. Operating income was also impacted by an increase in depreciation and amortization of $9.3 million, an increase of $2.2 million in corporate general and administrative costs, offset by the operations of the ABC Radio stations and Network. The increases in depreciation and amortization and corporate general and administrative expenses are primarily attributable to the ABC acquisition. Segment operating income, which we define as net loss plus income tax expense or benefit, interest-related expenses, depreciation and amortization, local marketing agreement fees, stock-based compensation, corporate, general and administrative expenses, asset impairment and disposal charges and other net was $86.4 million for the fourth quarter of 2007, compared to $49.0 million for the fourth quarter of 2006, an increase of $37.4 million. This increase reflects the operations of ABC Radio. On a pro forma basis, segment operating income adjusted for the result of ABC Radio and any significant station dispositions was $86.1 million for the quarter ended December 31st, 2007 as compared to a $103.2 million in the fourth quarter of 2006. This decrease of $17.1 million, or 16.6%, is a result of a $16.2 million decline in segment operating income from our Radio Markets and a $0.9 million decline at the Radio Network. The decline in segment operating income at the Radio Markets was primarily attributable to our New York, San Francisco, Chicago, Atlanta, Los Angeles, Washington D.C.; Birmingham, and Dallas radio stations. Net interest expense increased to $37.4 million for the fourth quarter 2007 from $8.0 million for the fourth quarter of 2006, an increase of $29.4 million. The increase in net interest expense was primarily the result of the interest incurred on the increased borrowings under our new senior credit and term loan facility, as a result of the ABC acquisition. Income tax benefit for the quarter ended December 31st, 2007 was $234.9 million, substantially all non-cash, as compared to income tax expense of $2.9 million substantially all non-cash for the quarter ended December 31st, 2006 Income tax benefit for the quarter ended December 31st, 2007 is primarily related to the $1.103 billion asset impairment which resulted in income tax benefit of approximately $246.1 million, partially offset by the tax expense on pretax income, excluding impairment loss. Net loss for the quarter ended December 31st, 2007 was $848 million or a negative $3.24 per basic share, compared to a net loss of $1.1 million or a negative $0.01 per basic share for the same period in 2006. Included in the net loss for the quarter ended December 31st, 2007 was approximately $857 million of non-cash asset impairment disposal charges, net of tax were a negative $3.27 per basic share and $5 million of non-cash stock based compensation expense net of tax or a negative $0.02 per basic share. Included in the net loss for quarter ended December 31st, 2006 was approximately $14.7 million of non-cash asset impairment net of tax or a negative $0.13 per basic share, approximately $4.1 million of non-cash stock based compensation expense net of tax or a negative $0.04 per basic share and cost related to the FCC's investigation of sponsorship identification practices of $2.2 million net of tax, or a negative $0.02 per basic share. Our free cash flow, which we define as net income loss plus depreciation, amortization, stock-based compensation expense, asset impairment and disposal charges, other net non-cash debt related expenses, and income tax expense less capital expenditures and cash taxes was $34.9 million for the three months ended December 31st, 2007 compared to $29.4 million for the three months ended December 31st, 2006, an increase of $5.5 million. The increase in free cash flow is a result of the acquired ABC Radio business, offset in part by an increase in interest costs and corporate general and administrative expenses. For the three months ended December 31st, 2007, the basic weighted average common shares outstanding, was approximately $261.7 million, as compared to a $111.2 million for the three months ended December 31st, 2006. Our capital expenditures were approximately $3.4 million for the fourth quarter and $12.3 million for the year. We recorded depreciation, amortization expense of approximately $12.2 million for the quarter and approximately $30.7 million for the year. Our debt outstanding, as of December 31st, 2007 is $2.465 billion and cash on hand is approximately $200.3 million. I'll will now turn it over to Farid.
Farid Suleman: Thank you, Randy. This has obviously been a very difficult and a disappointing year. The biggest disappointment was the major market radio stations that we acquired from Disney in June of 2007. Just to put that in perspective, on an annualized pro forma basis, the combined major market radio station Group's operating income of this year came in at about a $145 million, compared to $170 million in 2006 or a budget for this year that we had of $180 million, which was already lowered from what we previously had. This decline was across the board with every major markets declining, national was a complete disaster, where really the markets were down but we underperformed the markets by a factor of almost 2 to 1. To put some of the declines in perspective, in the fourth quarter alone in New York PLJ’s cash flow was down over 50%. This was on a 17% decline in revenues. This kind of decline came for a number of reasons. As we said, national was down. We were more effected by the writers strike in New York than some of our other markets, but our ratings have also been down. So, we have cut out in a lot of markets, Chicago, San Francisco and Atlanta were also down significantly. At the mid market level, all Citadels radio stations -- the operating cash flow came in at about $175 million, last year those stations did a $189 million compared to a budget of $200 million, so not as bad, but also a disappointment. The biggest declines were in Birmingham, Providence, Tucson, Boise, New Orleans and Allentown. However, on the positive side, on the small and mid market Wilkes-Barre, Harrisburg, Little Rock, Nashville, Baton Rouge, Knoxville, Memphis had phenomenal years and it really saved it for the core markets. The ABC's network was essentially flat, which is really great in this marketplace and for the first quarter in fact the network is sort of pacing a little ahead and we'll probably have a double-digit increase in profitability. So, really putting all of that in perspective, where do we go, we have undertaken this past week and in the next two weeks a major restructuring in our major markets. The purpose of this is to have very significant savings in costs, but not only will this save cost, I think this is going to position the stations for major growth, even in a zero based growth environment. We've talked in the past about the under performance that exist in the major market of some $20 million to $30 million, it has really actually gone up now. It's probably more like $50 million. And you will hear about some of the changes that are happening over the next several weeks. Our target now going forward, in this environment we are really not giving guidance, because of the uncertainties in the revenues. Our internal target is to stabilize, in spite of any revenue declines that have happened. Stabilize to the 2007 levels the operating cash flow at the major market stations and put in all of the changes, which will include management changes, format changes, programming changes, sales management changes, so that we can recoup in a zero revenue growth environment, the underperformance that exists, so the target is to get to the 2010 at the $200 million levels from those stations. Just to put that in perspective there's at least $20 million of potential cash flow from assets that are just not producing any cash flow right now. There is another $15 million to $20 million of cash flow that would come from what I would call streamlining and expense reductions to make the company more responsive to the marketplace. And then there are obvious changes that have to be made to our existing profitable stations, but that are significantly underperforming what their potential is. So, 2008 is the time and it will all be done before the end of the first quarter. We're going to put all the changes in place, stabilize the cash flow and then over the next two years recoup this underperformance, so we can get to the $200 million. The network which did about $27 million in cash flow, we expect that to increase in 2010 to around $40 million through a combination of growth in some new product developments and from expense reductions. The core Citadel stations that are at about $171 million now, there is about $10 million of underperformance in just a couple of the markets, which are already performing well in 2008. Our target is over the next two years to sell at least $10 million of cash flow each year for the next two years, and still end up at 2010 at about $200 million level for this core stations. So, roughly we're about two years behind where we said we're going to be, but we expect to put everything in place to get there. And this is all sort of based on a zero revenue growth environment from hereon. It's really gaining market share. Obviously, we cannot predict what the effects of any declines in overall market revenues will be. In addition to the operations, our target also is to pay down debt. We have currently just under $2.465 billion in debt. We also have substantial amounts of cash in the balance sheet. Our target is to pay down debts, so that by the end of 2008 we will be at just $2 billion, but clearly we wanted to be under $2 billion by 2010. And in addition, we still are generating by substantial levels of free cash flow, in that $140 and $150 range, Randy, which we will use to obviously pay down debt in 2008 and part of 2009, and after that use that to really buyback our stock. And we will do that not only from free cash flow, but hopefully with the assets sales, assuming the markets improve from here, at least from a liquidity standpoint. So, the target is, by bringing down the share count in 2009 and 2010, it will actually reduce corporate expenses, because as a result of the Disney deal, the cost of servicing the several million shareholders we've acquired is very expensive and we need to do something about it. We can't do anything, because of the reverse Morris Trust rules, at least for 18 months to 24 months from June of last year. But the target is to do that. So, we have all our work cut out, but we see a plan and we have our work to be done. And I think with that we'll going to turn it over for any questions.
Patricia Stratford: Operator will open the call for questions. (Operator Instructions) Your first question comes from the line of Victor Miller with Bear Sterns
Victor Miller: Good morning. You had mentioned that you felt like you had underperformed in your major markets by almost a 2 to 1 level, so could you talk about what these major markets did in general and what you though the delta was or why you underperformed so severely? Secondly, in the major markets we've projected you might have 7% share of the revenue in a market like New York, 5% in LA, 5% in Chicago, 10% or so in San Francisco, do you find that in this kind of marketplace, where you have other very dominant players in the marketplace, that you're unable to be maybe as flexible as you want to be on pricing or that your margin lies somewhat in those market places? And lastly on the balance sheet, could you talk about what you did and why you did the convert deal you did and what you're doing with your asset sales? Thanks.
Farid Suleman: Thank you Victor. I think, I've wrote down all the questions, but you can come back if I haven’t answered any. We will not get into obviously market-by-market, but on an overall basis the national markets were down in our major markets by about 15%. And our performance was down 21%. Each of those markets are different, in Atlanta the markets were down 12% we were down 23. In Atlanta it’s a ratings problem, in part, because we had a format attack with, a big company came and changed a format [became country], we had a country position there. And so, I don’t think it was so much a function of not having the bulk. I think it is more a function of programming for offensive rather than on a defensive basis. And I think, same is true in New York, we were totally repositioned because there was a void in our music programming, and both Fresh came in and provided real good format, alternatives for people to go all day CBS FM was able to do that and we allowed that to happen. We're not going to do that going forward, which are part of the changes we are going to do it. So, I don't think it had anything, if anything I think having less stations makes you more or should make you more nimble and be able to attack, because you don't have to bring a whole cluster together. And remember, a lot of the companies have clusters, so when you're being pricing for share, you've already done that before. So, if you were to price more for share, you will have to lower your rates again or you are doing some exclusive deals at discount, both of which will bring your rates down. So, I don't think it has to do with having both. I think it has to do with more being offensive on both programming and from a sales standpoint. With respect to the cash and what's happening on the balance sheet, we do have a settlement with our subordinated debts. We're waiting for Disney's consent on that. And the deal will allow us to buyback a portion of the debt at $0.90 on the dollar, and hopefully at an even better discount in the marketplace, subsequently. But at least we have a 10% gain built into that. I think, we have over $200 million of cash sitting on the balance sheet right now, and given our free cash flow and then combined that with the ability in this marketplace to buy that at a discount I think we should be able to bring down our debt very substantially by year-end. Asset sales, we did complete Spokane and a couple of little ones. I'm not sure we'll be able to do any big ones. We are working on a couple, but there is no assurance that those will happen. I think, you'll see more of a smaller deals being bought strategically by people in the market and as we've said we've lowered our targets, we are going to do our $100 million in asset sales in each of the next couple of years and all of that money will go straight down to paying down debt.
Victor Miller: And Farid, you have to buy in $165 million, at least, roughly of the converts, I mean the subordinated debts, do you see any risks that you won't do that by year-end?
Farid Suleman: No. We have to do a $55 million of it immediately when we get the consent, so that will be done on day one. And then we have to, till year end, to do another $110, and since both of those are at a minimum of 10% discount and remember the second part we don't have to do. It's we have the rights to do that and if we don't our interest rates goes to 6% next year. So, it's an option it's not an obligation. But clearly we have the money, and so, we will use our money to pay down the most opportune debt that we can do to maximize our shareholder value.
Victor Miller: Thank you
Operator: Your next question comes from Marci Ryvicker with Wachovia Securities.
Marci Ryvicker: I have a couple of questions. Farid is it safe to assume that there is no dividend going forward. You mentioned share buybacks and repayment of debt? And secondly you also stated a couple of times a zero revenue growth environment, are you talking about the radio industry I am assuming and not specifically the Citadel or ABC stations? And then lastly can you just kind of explain how expense reductions can help the top line, where you would be cutting expenses and where you wouldn’t, because I would think you'd be making format changes on bunch of your stations and then promoting those, so expenses should intuitively go up? Thanks.
Farid Suleman: Thanks Marci. You know what. Dividend is the Board's call. So, it is something that can change from time to time. It is unlikely that in 2008 we would be paying any dividends. The target is to reduce the debt. Paying down debt today creates far better value than anything else and positions the company for options down the road. In light of our stock price, buying the stock today would represent far better value than returning the money to shareholders as dividend, but obviously the company would keep sort of maximum flexibility. You're absolutely right. The zero percent is based on an industry growth or lack thereof. And some of the declines or underperformance of the marketplace that we've had, we would recoup over the next 12 months to 24 months. In terms of how can expense cuts improve revenue, there are number of things. One is to streamline the sales structure, so that you have people sort of taking more ownership position of sales than sort of having a lot of management structures in place. The focus improves; people are more targeted, trying to redeploy some programming expenses to ratings, that perhaps are more revenue targeted, rather than purely ratings related. So, we are going to be more focused on ratings that bring revenues, rather than ratings that bring ratings for the sake of that. And I think generally, there are going to be consequences, the performance and the rewards in the company, going forward, will change from what it has historically been in the past. People will only make bonuses and incentives if you make budgets. And so, there is an incentive to do that. And if you don't make it than you don't get a bonus and if you under perform the marketplace then perhaps you won't be with the company anymore. So, everybody is going to be more targeted. Everybody is going to be working towards winning. And I think having us streamlined. Sharply focused company can get there.
Marci Ryvicker: Right. Thank you.
Operator: Your next question comes from John Blackledge with JPMorgan.
John Blackledge: Thanks for taking my question. Just to get some clarity so you are making steps in your major markets to improve profitability in the near-term or long-term. Your goal in '08 is to stabilize operating cash flow in the major markets versus '07 level, so flat versus '07. What happens if the industry or those markets are down low to mid single digits in '08, what happens to profitability, because that's where the industry is, at least tracking right now? And then, if the industry were down like 1% to 2% longer term, I know you said you are modeling for flat, but if it's down 1% to 2% longer term, how are those stations positioned for growth, in terms of profitability, given the changes that you are making currently? Thanks.
Farid Suleman: Thanks. As I've said there is across all segments of our company, including at the core Citadel level, there is some $40 million of underperformance, based on today's radio revenue environment, that we have to recoup over the next two years. If the radio industry goes down from that then we will recoup some of this, but we will be effected by the declines overall that exist in the industry, so that's why we cannot give any specific guidance about where the industry is going to be. We are just telling you on an assumption basis, but obviously if the industry is going to be down then we will not make, the numbers we would have would be adjusted for the effects of those revenue declines would have on our stations.
John Blackledge: Thank you.
Operator: Your next question comes from Jim Boyle with C.L. King.
Jim Boyle: Good morning. There has been minimal rate card integrity in large market radio for at least a few years now and during that time the radio industry revenue has been slightly up or down. Lead-in executives have explained that it's the weak radio advertising demand is the root cause for the rate cutting. Farid, how much of a rebounded demand would significantly cure radios diving for dollars? Would it be 2% to 3% growth or would it take actually 4% to 5% growth, given you've been doing this for a long time?
Farid Suleman: You know the issue really has to do with the timing of the demand and how the demand comes in. If there were in the radio industry and particularly at CADS, they are really focused on bringing in new advertisers into the industry, which is what has been lacking. I think, it is a very impressive and a comprehensive effort. And I think, you're going to see some of the benefits coming from that. If you can get one or two or three new big major national advertisers coming into the business and starting to place their advertising, you start getting the confidence of trying to raise the rates. It's not like people are dropping rates, because its like, they want to. It's sort of business gets placed more and more last minute, even more than it was in the past and then people make a decision about do you maintain rate integrity or do you just take whatever dollars you can get. And there is a balance between the two. And sometimes in this market makes you tend to sort of take money that otherwise you would have sort of cut down and that affects the rest of your pricing. Whereas if you get some new advertisers coming in, you don't drop those prices you feel more content about maintaining your integrity. And if you get two consecutive, even 2% or 3% revenue growth quarters, the whole industry changes very, very quickly. So, I think everybody is sort of waiting and poised to take advantage of that. It's just that until that happens, you're still in the same game where if one national advertiser holds back, then people start dropping rates or pricing for share. I believe there's going to be less of that in the industry. I think from what I can tell the industry is more focused on growth rather than gaining share of a declining pie more so now than it ever has been in the last three years. last three years to be in the pudding and we'll what the second half of this year brings.
Jim Boyle: Now, when you said it's gotten even later ad placements in radio, even compared to how it was still very late last minute placement couple of years ago, Could you quantify that, such as, if you maybe used to enter a typical monsoon, maybe 80% to 85% of the budget booked, is it now closer to 70% to 75% of budget booked?
Farid Suleman: Yeah, right. I think historically it used to be in the summer months you rent in at least 80%, Judy now you would find it
Judy Ellis: I would say it we are down about 10%. We entering months at 70% where it used to be 80%.
Farid Suleman: And then, even in the last week we're adding money whereas in the past the last week was most cancellations.
Judy Ellis: Right. We're adding more of revenue in month than we did in all of '06.
Jim Boyle: So that would explain the pressure and the panic?
Farid Suleman: Yeah. I think it varies by market and the type of stations, but I think 5% to 10% less going into the months is becoming the norm.
Jim Boyle: Ms. Ellis in the top 25 market does it take more than one stubborn price leader to drive rates or does it take two to three to push rates?
Judy Ellis: Well in a perfect world it takes everybody to push rates, but
Jim Boyle: It's not a perfect world, so what would you say now?
Judy Ellis: Two to three will be preferable over one.
Jim Boyle: Can one do it?
Judy Ellis: It depends if that one is a really strong leader, a really strong rate leader then yes.
Jim Boyle: How would you define really strong rate leaders, someone with 30 plus percent market share?
Judy Ellis: No I'm talking about someone who is really a strong ratings leader.
Jim Boyle: Okay. And could you define that in any fashion, quantify it?
Judy Ellis: We have markets where there is one very dominant radio station. It's difficult to buy around that one radio stations. And when it's a very strong market leader, like we have in Knoxville, with WIVK. They have the hard job of being the rate leader, so that they can create stronger cost for points for every other radio station in the market.
Jim Boyle: So would you say it's a lot easier, even with the strong rating position, to be a strong price leader if you are private company versus a public company?
Judy Ellis: No I don't think it makes any difference.
Jim Boyle: Okay. Thank you.
Operator: Your next question comes from James Farrant with Morgan Stanley.
James Farrant: Thanks. Just a couple of quick ones. One do you think the conversion into the electronically rating via the PPM can be a mechanism to bring back national advertisers? And if so, are there specific categories that you think have shifted away from radio, because of the ratings measurement issue that could come back? I mean I don't know if auto was one of those, but auto has been down significantly in national radio this year and obviously that's a big category across the industry. Can you just maybe talk to sort of both issues there?
Judy Ellis: Yeah, I think that People Meter will give us the kind of credibility that will bring advertisers back. And if you look at where a lot of these advertisers have gone, they've gone to a lot of the emerging media, because it’s highly quantifiable like the internet. So, when we have a rating system that is accurate, quick and trusted, I think that we'll see a lot of come back. We've actually heard from a lot of the auto industry, that they are not thrilled with the diary methodology. So yes, I think that they will come back and I think we'll be an industry that has one of the best rating services of any medium out there.
James Farrant: Okay. And just to follow-up. And given that your ABC assets are in markets that are converting in the back half of 2008 and early part of 2009, do you think your formats are positioned well given the results we've seen so far at the PPM or do you think you may see significant format flipping as we enter into the back half of the year.
Farid Suleman: I think you will, we've already seen the results in New York and I think you'll see the same in LA. You will see that our formats currently are doing a lot better with the People Meter, sort of with the more accurate reporting that there has been with the diary. We believe, the same will be true in LA, and the same will be true in Chicago and we're totally focused on that. So, there are very few markets where we think based on preliminary results, based on where the formats do better, that we will have any format flips for that, maybe one or two which will happen in the next couple of months anyway.
James Farrant: Okay thanks
Operator: Your next question comes from Edward Atorino with Benchmark
Edward Atorino: Hi Farid, All my questions have been answered. It seems you have a real lot of stuff on your plate with the management change, the format change, the program change, sales change, can this all sort of be done in '08 or is this going to stretch out into '09?
Farid Suleman: No. As I said, the time for talk is over and it's time for the walk. So, we will get everything done. Obviously, we'll have a plan implemented to get everything done in the next three to six months across every, all segments of our business. And some of the benefits of some these will be realized in 2008, second half particularly. But clearly in 2009 and 2010 you'll see major changes. So, we will not be talking about the underperformance and the changes in 2009. All of this will be done in 2008.
Edward Atorino: Do you see much help from political as the year goes along?
Farid Suleman: You know, we've have being in this business, where we expect this to happen and then it's not happening, so we 're really not counting on it, but the second half of the year should be a real positive, have you some positive from our market.
Judy Ellis: Yeah. Actually, even in first quarter, because of all the primaries that happened in the first quarter, we have seen substantial increases in political, certainly over Q1'07. Now, at this point we’re waiting to see what happens with the Ohio and Texas, because Pennsylvania could be a big primary. And these time for the first time we have a very focused effort on getting those political dollars. All of the strong new talk stations in our company really help us.
Farid Suleman: Yeah. I think in the bigger markets, political was down in the first half of this year, but in the second half of the year hopefully we'll be doing better.
Edward Atorino: At the risk of asking you to repeat yourself, would you review your bond buyback strategy there, your debt buyback strategy?
Farid Suleman: It's really not so much of bond buyback strategy it's a sort of a debt reductions strategy. We have a substantial amount of cash right now and we are still generating large amounts of free cash flow. And we dedicated all of that money to paying down debt. And which ever debt pay down results in the biggest return for us is where we will deploy our money. Under the bond settlement, we have a minimum built-in discount of the rights to buy the bonds at a 10% below face value, so we know we have that at minimum. But I think a lot of the debt is trading at substantial discount at this stage.
Edward Atorino: And what was the $55 million you talk, I sort of missed, is that the first tranche you can take out or something like that?
Farid Suleman: Yes under our bond settlement, as soon as we implement that, we are required to take out $55 million of the bond at $0.90 in terms of the dollar.
Edward Atorino: And the next one is an option or?
Farid Suleman: In the next we can continue to buy at $0.90 at any time.
Edward Atorino: Okay.
Farid Suleman: Yeah, so that's what it is.
Edward Atorino: Okay. Thanks so much.
Farid Suleman: Thank you.
Patricia Stratford: Operator?
Operator: Yes ma'am.
Patricia Stratford: We have time for one more question.
Operator: Yes ma'am your final question comes from Steven Shapiro with GoldenTree.
Steven Shapiro: Hi Farid.
Farid Suleman: Hi Steve.
Steven Shapiro: You talked about lot of operational changes and I'm just wondering how do you feel about your both general manager team and your station level management team in terms of implementing those in 2008/?
Farid Suleman: Overall, we feel really good. Obviously there will be some changes made and the environment is -- what you want to do is to give everybody an opportunity to perform and there are changes, there are different companies that have merged, so you want to give everybody a chance to perform. The environment is such that you don’t have a luxury of too much time, so you are going to see across the board.
Steven Shapiro: Okay. Corporate expense went up in the quarter. What was that attributable to?
Randy Taylor: Its Randy, It's attributable primarily obviously to the expenses still with the integration of ABC. We do have some noteholder costs and some legal costs in there that were incurred, with the settlement of litigation, should go down. But clearly that should level off. But it's still, as Farid even talked about, that the cost associated with the additional shares that we have, so there are some additional stockholder costs well. So its, I think it’s a variety of items that those are probably the major drivers.
Farid Suleman: And we also had some legal expenses, because of the bondholder suits and merger related expenses, so some of those, as they get resolved, will go down. And as you guys may have heard, effective today Randy is our Chief Financial Officer, so you can count on expenses coming down when Randy does his magic.
Steven Shapiro: Okay. And what do you think reasonable long term G&A assumption should be?
Farid Suleman: I think for the next, other than some contractual or rental expenses, you should just assume that controllable G&A expenses are going to be flat. As time goes on and we can reduce some of the shareholder servicing expenses and what not, those would start coming down, So I can't see any expenses that we have today that actually will go up over the next 12 months.
Steven Shapiro: Thank you
Patricia Stratford: Thank you everyone for joining us on today's call.
Operator: This concludes today's Citadel Broadcasting 2007 fourth quarter results conference call. You may now disconnect.